Operator: Good day, everyone, and welcome to today's Benchmark Third Quarter 2024 Earnings Call and Webcast. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note this call may be recorded. [Operator Instructions]. It is now my pleasure to turn the conference over to Mr. Paul Mansky, Benchmark Investor Relations. Please go ahead, sir.
Paul Mansky : Thank you, Jess, and thanks everyone for joining us today for Benchmark's third quarter fiscal year 2024 earnings call. Joining me this afternoon are Jeff Benck, CEO and President Bryan Schumaker, our CFO and Arvind Kamal, VP of Finance. After the market closed today, we issued an earnings release pertaining to our financial performance for the third quarter of 2024, and we have prepared a presentation that we will reference on this call. Both are available online under the Investor Relations section of our website at bench.com. This call is being webcast live and a replay will be available online following the call. The company has provided a reconciliation of our GAAP to non-GAAP measures in the earnings release as well as in the appendix to the presentation. Please take a moment to review the forward looking statements disclosure on Slide 2 in the presentation. During our call, we will discuss forward looking information. As a reminder, any of today's remarks, which are not statements of historical fact, are forward-looking statements , which involve risks and uncertainties as described in our press releases and SEC filings. Actual results may differ materially from these statements. Benchmark undertakes no obligation to update any forward looking statements. For today's call, Jeff will start with an overview of the quarter, followed by an introduction to Bryan, our new CFO. Arvind will then detail our third quarter results, and Bryan will provide Q4 guidance. As usual, we will conclude with Jeff sharing more insight into demand trends by sector, new business wins and some final remarks. If you'll please turn to Slide 3, I'll turn the call over to our CEO, Jeff Benck.
Jeff Benck : Thank you, Paul. Good afternoon, and thanks to everyone for joining today's call. The third quarter was another successful milestone for the company where we exceeded the midpoint of our guidance for revenue, margin and non-GAAP EPS. Let me step through a few highlights. Total revenue of $658 million was above the midpoint of our guidance range provided in July. We are pleased with the year-over-year growth in Aerospace and Defense and semi cap, the latter being well into the double digits. As anticipated, this was offset by declines in industrial, medical and advanced computing and communications. While demand over the last few quarters has certainly stabilized, we continue to see end market softness in several sectors weighing on our opportunity to grow revenue year-over-year. Third quarter non-GAAP gross margin of 10.2% marked the fourth quarter in a row of 10% or better margin performance. I'm particularly thrilled to share non-GAAP operating margin of 5.3% represents the 16th consecutive quarter of year-over-year operating margin expansion. This performance, coupled with our revenue achievement, enabled us to deliver $0.57 in non-GAAP earnings per share in the quarter, which was at the higher end of our guidance. We continue to execute on our working capital initiatives led by inventory management, which enabled us to deliver $29 million in free cash flow in the quarter, bringing our trailing 12 month total to $245 million. I would now like to pass the call over to Brian, who has only been on the job a few weeks, but I'm already confident he will make a significant impact as we continue to drive our strategy forward. With that, Bryan, over to you.
Bryan Schumaker : Thank you, Jeff, and thank you to everyone for joining the call. Today marks my third week at Benchmark. During this brief time, I've already come to further appreciate the customer first culture, the depth and quality of the team and the incredible opportunity in front of us driving significant shareholder value. As I consider joining Benchmark, it was clear the company has done a great job of focusing on high value sectors while maintaining operational discipline over the last several years. Looking forward, it is equally clear the EMS industry is entering a structural multiyear growth cycle regardless of any near term macro headwinds. I think Benchmark is uniquely positioned to capitalize on this and I'm thrilled to be a part of this of it as we seek to maximize our opportunity both operationally and as a trusted partner to our customers. With that, I'd like to turn the call over to Arvind for a review of our September financial results.
Arvind Kamal : Thank you, Bryan, and good afternoon. Please turn to Slide 4 for our revenue by market sector. As Jeff mentioned, our total revenue in Q3 was$658 million dollars Semicap revenue increased 13% year-over-year, supported by improving demand and new customer wins. Industrial revenue decreased 2%. The decline was driven by reduced demand from existing customers, partially offset by new program ramps. Medical revenue was down 28% versus the prior year. We continue to see inventory rebalancing and end demand weakness primarily impacting medical devices. A&D revenue was up 2%. Commercial aerospace demand remained strong, both within aviation and space applications. Meanwhile, we continue to see robust demand within defense, where we are benefiting from existing program ramps and the launch of new programs. AC&C decreased 27% year-over-year. This decline was driven by several large HPC programs being completed earlier in the year, coupled with continued weakness in our communications business. Please turn to Slide 5. Our GAAP earnings per share for the quarter was $0.42 Our non-GAAP EPS was $0.57 which was at the high end of our guidance range of $0.52 to $0.58. As a reminder, our non-GAAP results exclude stock based compensation, amortization of intangible assets and restructuring expenses. For Q3, our non-GAAP gross margin was 10.2%. This represents a 50 basis point increase year over year. Non-GAAP SG&A expense was $32,300,000 down 4% sequentially and flat year-over-year. Non-GAAP operating margin was 5.3%, up 20 basis points sequentially and up 10 basis points year-over-year, driven by gross margin expansion. Our 3rd quarter non-GAAP effective tax rate was 23.7%. Non-GAAP ROIC in the 3rd quarter was 9.9%. Please turn to Slide 6 for trended financials on a non GAAP basis. As you will see, despite demand challenges among some of our end markets, we continue to focus on protecting operating margin, which again expanded year-over-year. Please refer to Slides 7 through 9 for a discussion of our cash conversion cycle, liquidity and capital allocation performance. Our cash conversion cycle days in the quarter were 90 days, consistent with our performance in Q2. In Q3, we continued to execute on our working capital efficiency plan, which combined with our net income performance, enabled us to generate $39 million in operating cash flow and $29 million of free cash flow in the period. On a trailing 12 month basis, we have generated $245 million in free cash flow. Our cash balance on September 30 was $324 million a sequential increase of $15 million. During the quarter, we reduced debt by another $11 million leaving $125 million outstanding on our term loan and $155 million against our revolver, from which we have $391 million available to borrow. In the quarter, we invested approximately $8 million in CapEx in support of continued growth and enhanced capabilities in our Mexico, Penang and Romania facilities. In support of returning capital to our shareholders, we have paid cash dividends of $6 million in the quarter. Finally, in Q3, we repurchased approximately 127,000 shares at an average price of $40.27 per share, totaling $5.1 million. As of the end of the quarter, we had approximately $150 million remaining in our existing share repurchase authorization. I would now like to turn the call back over to Bryan to discuss guidance for the December quarter.
Bryan Schumaker : Thanks, Arvind. Please advance to Slide 10. For our fiscal Q4 ending December, we expect revenue to be within a range of $640 million to $680 million. We expect non-GAAP gross margin to be 10.2%, which is consistent with our performance over the last several quarters. Non-GAAP SG&A expense is expected to be within a range of $34 million to $36 million With those inputs, we would expect non-GAAP operating margin to be between 4.9% and 5.1%. For Q4, we expect approximately $3.5 million of stock based compensation, $1.2 million in amortization of intangible assets and $1 million of estimated restructuring and other expenses. Our non-GAAP diluted earnings per share is expected to be in the range of $0.53 to $0.59. Other expenses net are expected to be approximately $6.4 million. Although interest expense is expected to decline sequentially, this will be partially offset by an anticipated increase in foreign exchange costs. We expect our Q4 non-GAAP effective tax rate will be between 22% to 24%. Our weighted average share count is expected to be 36.6 million. Finally, we expect to continue to deliver positive free cash flow in the quarter, inclusive of $12 million to $14 million in capital spending. For the year, we expect free cash flow to be greater than $130 million. And with that, I would like to turn the call back over to you, Jeff.
Jeff Benck : Thanks, Bryan. Please turn to Slide 12 for a discussion of our performance by sector. Our semicap revenue grew 13% year-over-year driven by new wins and further share gains. We continue to see signs of recovery in the sector, although it's clear to say this cycle has not followed historical patterns. We are long on this space and investing for the future, but the pace of the next upcycle has been a bit challenging to predict. While we expect 2025 to be a growth year, it seems the first half will continue to have pockets of weakness. Select OEMs are still bringing inventory levels down as others work to support incremental demand. Netted against each other, we believe we are still in the early stages of the market recovery. Despite this near term choppiness, I'm pleased with our continued win momentum. Coupled with our capacity expansion, including our new facility in Penang, which opened in September, we are well positioned to capture incremental share during the inevitable upturn in this critical sector to the world's economy. Supporting my confidence, we continue to score some meaningful new wins in this vertical. This past quarter, I was particularly encouraged by the large number of new engineering wins we achieved on next gen platforms. We also had a competitive takeaway with a large customer that includes both machining and assembly that will be manufactured here in the Phoenix area. Our strong position and incremental wins are enabling us to grow our semicap revenue greater than 10% in 2024, which is more than 3 times the expected industry growth rate this year. In Medical, similar to the last few quarters, end demand softness has weighed on sector performance. This isn't concentrated within a specific program or customer. It's clear there is broad market weakness, most notably within medical devices, which we expect to continue for the next few quarters. We continue to pick up new wins in life sciences and Class 3 medical devices, which speaks to the long term growth opportunity in the sector. By way of example, this past quarter, we had a number of key wins, including a competitive takeaway with one of our largest customers. We also won the manufacturing for a new ultrasound device and had a key engineering win in the cardiology space with a new customer. As you know, engineering wins tend to drive future manufacturing wins. So I'm pleased to see us keep up the momentum both in our traditional medical sector and in our growing biotech business. Turning to complex industrials. We continue to win new business in key growth subsectors. This past quarter, we won an RF based monitoring module with applications across a number of industrial and commercial markets. Importantly, this key piece of business was awarded because of our engineering capabilities. In addition, we won an impressive number of new engineering engagements across multiple customers over the last 90 days. This ties directly to our continued investment in the complex industrial sector given the growth opportunities we see. Although this sector may be down sequentially in Q4, we expect to return to modest year-over-year growth in the period, which we look to build on in the quarters to come. Turning to A&D. This sector continues to perform very well for us. Although year-over-year growth moderated in Q3, we expect the pace to pick up and return to double digit growth in Q4 on both the sequential and year-over-year basis. Our defense business continues to see demand strength from both existing programs and ramping new wins. At the same time, our supply chain efforts are enabling us to meet the growing demand. This past quarter, we were pleased to have a couple of new platform wins, representing a significant expansion of our manufacturing partnership with an existing customer. One was in communication controls and the other in aircraft modernization. Within Aerospace, demand has stayed strong for several quarters. I'm particularly pleased with the continued momentum in bookings from new space applications where just this quarter, we secured several new wins across both engineering and manufacturing. Lastly, AC&C revenue declined 27% year-over-year in the September quarter. As we've been saying for some time now, we expect sector pressure to persist throughout the rest of 2024 and the first half of 2025, driven by the completion of several large HPC programs and some delays in the timing of the follow on platforms. Within Communications, our customer disengagement we previously discussed continues to impact our year over year growth as expected. Looking forward, we are working on new product introductions across multiple programs for a large wireless transport customer. These efforts resulted in a sizable follow on booking in the quarter that's expected to begin contributing in the second half of 2025. Elsewhere within communications, this past quarter, we saw a key win in the geospatial imaging market, which carries the potential to be significant over time. In summary, please turn to Slide 13. The September quarter once again demonstrated Benchmark's ability to control what we can control, while we remain committed to investing in our customer success in support of our mutual growth. We believe consistency is important, and the breadth of our portfolio across sectors and customers has enabled us to weather the dynamic market environment while continuing to improve our operational execution and margins. Benchmark has now delivered 16 consecutive quarters of year on year non-GAAP operating margin expansion. This has been irrespective of the demand environment, which has historically not been the case in our space. I believe this speaks to our maniacal focus on building the right portfolio and controlling our costs, particularly during periods in which revenue growth is challenged. We've also improved our working capital management led by our inventory reduction efforts. This past quarter, inventory was down more than $140 million year-over-year, making this the fifth consecutive quarter of annual inventory reductions. This has supported our free cash flow generation, which has totaled almost $1.25 billion over the last 12 months. We have leveraged our strong cash flow to further improve our balance sheet while returning capital to shareholders. We have significantly reduced our revolving debt balance and have now been net cash positive for the last two quarters. At the same time, we have consistently paid our quarterly dividend, which was increased to $0.17 per share last quarter. Finally, this past quarter, we resumed our share repurchase activity, buying approximately $5 million in stock. Let me wrap by saying regardless of the market environment, our mission remains the same. We're going to support our customers with anything they require to improve product realization and speed their time to market. We are also going to drive further operational improvements within the company, including efficient use of working capital. Lastly, we will return capital to our investors through the dividend and share repurchases. We are encouraged by the pipeline of significant new opportunities in front of us, the wins we have already secured and those that are ramping and the potential for an improved macro environment, all of which increases our confidence that we will see a return to growth in 2025. With that, I'll now turn the call over to the operator to conduct our Q&A session.
Operator: Thank you. [Operator Instructions] We'll go first to Jaeson Schmidt with Lake Street.
Jaeson Schmidt : Yeah, thanks for taking my questions. I know the outlook for the year for each sector is unchanged, but just curious if there are any sectors you're a bit more optimistic about now than you were last call?
Jeff Benck : It's Jeff. I'll take it. Thanks, Jaeson, for your question. We certainly are encouraged by some of the semicap recovery that we started to see. We did talk about there being some inconsistency across OEMs, but we feel that we have started to see the recovery, even though as we get into '25, we'll have a better feel. And then A&D just continues to be strong. And Q3 was a little bit of a pause in year-on-year growth, but we see that picking up again in the fourth quarter. That's probably where I would center my thoughts.
Jaeson Schmidt : Okay. That’s helpful. And just curious if sort of the pricing environment when you guys are going out to bid for programs has remained pretty rational.
Jeff Benck : Yeah. It's been very rational. There's always competition, and we focus on what we're good at. We differentiate ourselves with the highly regulated complex solutions. Engineering content is always a plus. You saw we had one win where engineering helped us lead the engagement and really was the reason why we won. It is competitive, but the pricing environment is pretty rational. And I think customers are in a tough economic environment, looking for cost savings. And so, they're certainly focused on how we can drive operational improvements to meet those needs. But, all in all, I'd say it's a pretty rational environment.
Jaeson Schmidt : Yeah. And then just the last one for me, and I'll jump back in the queue. You highlighted the continued operating margin growth going forward even against this kind of more challenging demand backdrop. When the demand profile flips back, how much further upside do you think you can drive that operating margin line?
Arvind Kamal : Yeah, Jason, this is Arvind. You've seen consistently, we're delivering 10% gross margins, non-GAAP operating margins in the kind of the 5% neighborhood. I would say one of the key things that we're looking and you're seeing small pockets of this is the semicap recovery. But once we get that more to be more uniform, we anticipate anywhere from 25 to 50 basis points of additional OI, if you will, OI percentage, if you will, based on that recovery. And then as Jeff pointed out in his script, that's more back end of 2025. Anything you want to add?
Jeff Benck: Yeah. Maybe before, Bryan, you can certainly weigh in too, but this is Jeff again. I also think that we've done a good job of really watching costs and getting operationally efficient. Revenue growth helps a lot, just bring leverage. And so, as we see a return to growth, particularly in some of the softness in industrial and medical, that will certainly help as you think about SG&A as a percent of revenue and what we might drop to the bottom line. So, those things can contribute. But we're not saying we're done on operational improvements. We are maniacally focused on that and still look for areas. A lot of times, this has to do with is there demand in particular sites where we may have underutilization. You know we've invested a lot in Mexico and Romania. And now we've got capacity. And as we fill that, that will help us there as well.
Jaeson Schmidt : Okay. Thanks a lot, guys.
Jeff Benck : Thanks, Jaeson.
Operator: [Operator Instructions] We'll move next to Steven Fox with Fox Advisors.
Steven Fox : Hi, good afternoon, everyone. Take a little bit of the corollary to the questions that were just asked. The markets that aren't performing well, industrial, control equipment, medical, some of these markets have been sort of dragging on for longer than is typical on a downturn and not that you guys are the only ones seeing that everyone in the supply chain is. But I guess, how do we get any kind of like even green shoots of improvements that may be coming? Do you see any of that at all? Or is this something that just could last even longer than even next year.
Jeff Benck : Thanks, Steven. Good question. We are seeing some, I would say, green shoots like in industrial, I would say, for sure. We've seen a stabilization. You'll see some year-on-year growth in fourth quarter. I think we're more constructive, partly also because we've been winning new business, which is going to help us there. Medical does seem to be dragging on a bit longer given the focus on inventories and where people are there and coming out of COVID where people right-size, it does feel like it's a bit more prolonged. But I would say in industrial, we think that, that's starting to turn the corner and see good opportunity there. And then in telecom, there's just some unique things going on there. We've got some good new wins in AC&C that we're pretty encouraged about. But I would say just based on the ramp, that will be more back end of '25 that we'll see stronger recovery there. But we feel like we see line of sight just because we know we're in NPI or new product introduction phase on that. So, several new logos that will help us there.
Steven Fox : That’s helpful. And then just on the engineering services piece of the business. I mean, it sounded like you mentioned it more in the script than you have in prior quarters, not that you didn't mention it previously. I'm just wondering if anything has changed there or if not, where you're being more effective because you mentioned it across a bunch of different markets.
Jeff Benck : Yeah. We did have a lot of wins in engineering. Not all of them were huge, but we probably had a more pronounced number. We still think we can certainly do more. We are seeing good engagement in the semiconductor sector, which is an area that's been growing for us, and that's great because we want to help with engineering across all the sectors. We highlighted it because I've hired a lot of folks in the industry. And when they come to bench, they're like, wow, we really design a lot of products. It's not just about having engineers that can do industrial engineering and plant layout. We do a lot of product development, and that's such a great lead into them being the best person to build the products. So, it's kind of core to our value prop and what differentiates us. There is a lot of focus in engineering within our team, because we do think that it's higher value add. And, like I said, it can lead to the manufacturing piece. And sometimes in tough environments, there could be pressure on it. We see it holding up pretty well in the macro that's happening here. And it's just important to us, and that's why we try to give a little more color on it.
Steven Fox : Great. That’s helpful. Thank you.
Jeff Benck : Sure.
Operator: [Operator Instructions] It appears we have no further questions at this time. I'd now like to turn the conference back to Mr. Mansky for any additional or closing comments.
Paul Mansky : Thank you, Jess, and thank you, everyone, for participating in Benchmark's third quarter 2024 earnings call. As a reminder, we'll be attending the Raymond James TMT Consumer Conference in New York on December 10. Also in New York, we'll be attending the 27th Annual Needham Growth Conference on January 14. For updates to upcoming events and other conferences, please check the Events section of our IR website at ir.bench.com. With that, we thank you again for your support and look forward to speaking to you soon. Good evening.
Operator: Thank you. Ladies and gentlemen, this does conclude today's program. We thank you for your participation. You may disconnect at this time.